Operator: Good morning, and welcome to American Hotel Income Properties REIT LP's Second Quarter Results Conference Call. [Operator Instructions]. Before beginning the call, AHIP would like to remind listeners that the following discussion will include forward-looking information within the meaning of applicable Canadian securities laws, which forward-looking information is qualified by this statement. Comments that are not a statement of fact, including projections of future earnings, revenue, income and FFO are considered forward- looking. Participants on this call should not place undue reliance on such information, which is provided based on management's expectations and assumptions as of the date of this call. AHIP does not undertake any obligation to publicly update such information to reflect subsequent events or circumstances, except as required by law. On this call, AHIP will discuss certain non-IFRS financial measures. For the definition of these non-IFRS financial measures, the most directly comparable IFRS financial measure and a reconciliation between the 2, please refer to their MD&A. References to prior year operating results are comparisons of AHIP's portfolio of 38 properties results in that period versus the same property results today. All figures discussed on today's call are in U.S. dollars unless otherwise indicated. A replay of this call will be available on AHIP's website. Discussing AHIP's performance today are Jonathan Korol, Chief Executive Officer; Bruce Pittet, Chief Operating Officer; and Travis Beatty, Chief Financial Officer. I will now turn the call over to Jonathan Korol, Chief Executive Officer. Please go ahead.
Jonathan Korol: Thanks, operator, and thank you, everyone, for joining us today for our second quarter financial results conference call. In Q2, AHIP continued to successfully execute on a number of key strategic priorities. For the quarter, the company achieved all-time highs in average daily rate and RevPAR. RevPAR index, the industry's best indicator of market share increased 70 basis points to almost 115% during the quarter. These metrics are each indicators of the benefits of the work our team has done to high-grade our portfolio via asset dispositions over the last couple of years. On a same-store basis for the 38 hotels currently under ownership, total revenue was down by 1.7% and RevPAR finished at $108, a 2.3% decrease compared to Q2 2024. This decrease was driven by contractions in the government and group segments as well as by difficult comparisons to exceptional event-driven demand that benefited the second quarter of last year. The industry continues to face challenges from an operating margin standpoint. NOI margin decreased by 157 basis points to 33.8% for the quarter compared to the same period in 2024. Inconsistent operating performance at the asset level, operational disruptions such as GM turnover and elevated undistributed expenses continue to negatively impact the bottom line. We remain focused on cost control initiatives across the portfolio and believe that we're making strong progress in this regard, progress that will garner benefits given the efficiency of the Select Service hotel operating model. AHIP's board and management team continue to advance our plan to strengthen AHIP's financial position and preserve long-term value for our unitholders. Over the past 18 months, AHIP has made significant progress on our plan to address upcoming debt obligations with asset sales and loan refinancings. We sold 16 hotel properties in 2024 for total gross proceeds of $165.2 million. In the first half of 2025, we have completed the disposition of 11 hotel properties for total gross proceeds of $73.5 million. 8 of these sales were finalized in the second quarter and traded at a blended cap rate of 6.9% on 2024 annual hotel EBITDA. As of today, we have 2 more properties under purchase and sale agreements for estimated total gross proceeds of $25.2 million. One of those is expected to close in the third quarter of 2025 and the other is expected to close in the fourth quarter. Combined, the property sales have improved the overall portfolio asset quality with pro forma increases in RevPAR, NOI margin and EBITDA per hotel, while also significantly reducing leverage. With the recently completed asset sales and refinancings, AHIP has no secured debt maturing until late 2026. We are in a stable cash position and have sufficient time to consider alternatives to address future obligations in an orderly manner. Alternatives may include further hotel sales or a full or partial recapitalization of Series C shares and/or Debentures or a combination thereof. Regarding potential dispositions, AHIP currently has approximately 20 additional hotels being marketed. Interest in one-off hotel purchases continues to be strong, and we are seeing robust demand for many interested parties across the country. Over the remainder of 2025, AHIP will assess which of the marketed hotels garner offers that provide the most attractive combination of net proceeds to our unitholders as well as certainty of closing. In December 2024, the TSX accepted AHIP's notice of intention to make a normal course issuer bid. The notice provides that we may during the 12-month period commenced in December 30, 2024, and ending December 29, 2025, purchase up to 7.5 million units, representing 10% of the public float. We believe that our units are currently trading below their underlying value based on the quality of AHIP's assets. As of July 31, 2025, we had purchased close to 2 million units for gross proceeds of CAD 1.2 million, which results in an average purchase price of $0.62 a share. I'll now turn the call over to Bruce to discuss second quarter hotel operations and then Travis will highlight key financial metrics. Bruce?
Bruce Pittet: Thank you, Jonathan, and good morning, everyone. Looking at the second quarter, AHIP's portfolio of premium branded select service hotel properties saw a RevPAR decline of 2.3%, finishing at $108, which represents the first quarterly year-over-year RevPAR decline in 5 quarters and just the second in the last 14 quarters. Total revenue decreased by $841,000 for our portfolio of 38 assets. Q2 was a choppy quarter from a demand perspective, with year- over-year RevPAR down in April, up in May and down again in June. Occupancy was down 68 basis points to 76.3% compared to the same period in 2024, an average daily rate finished at $142 for the quarter, which was 1.5% below Q2 2024 levels. Looking at various demand segments. Leisure-linked segments remained strong, up 1% year-over-year, but demand shifted from higher-rated retail to discounted demand segments. Government revenue dropped in several markets to about 90% of Q2 2024, although we did see pockets of government project demand that was very market specific. There was also a softening of group travel as revenue dropped to 83% of Q2 2024 in aggregate across the portfolio. We referenced 3 distinct segments of our business, Extended Stay, Select Service and our Embassy Suites hotels. Portfolio revenue growth in 2024 was driven by the Extended Stay segment and Select Service verticals. During Q2, Extended Stay continued to be the strongest performing vertical in the AHIP portfolio, with RevPAR finishing at $115, were up 1% over Q2 2024. The Select Service segment achieved a RevPAR of $102. This represents 95% of Q2 2024 levels. Some hotels in this vertical experienced elevated impacts from reduced government and project demand and poor weekend weather in the Northeast U.S. impacted travel throughout the quarter, in the region. The Embassy Suites segment achieved a RevPAR of $109 or down 2.5% year-over-year, which was driven by a reduction of group and government demand in our Arizona and Kentucky embassies. AHIP's 2 Ohio Embassies posted a combined 5% RevPAR gain in the quarter, driven by improving group demand. Similar to Q1, margins continued to be pressured by the elevated operating expense environment as well as operational disruptions. For our portfolio of 38 assets, NOI margin finished at 33.8%, 157 basis points below Q2 2024. Although rooms expenses are generally stable, we are seeing expenses outpaced revenue growth, which has driven margin compression. Average hourly wage rates are up 3% versus last year for the quarter. Reliance on third-party labor has continued to decline with third-party full-time equivalents down 75% from the end of 2023, helping stabilize rooms department costs and improving housekeeping efficiency. However, undistributed expenses remain elevated. Turning to AHIP's capital program. Total year-to-date FF&E spend is $4.6 million and PIP spend is approximately $300,000. The 2025 capital plan is estimated to include $1.9 million in PIP spend and $7.5 million in FF&E improvements, respectively, which will mostly be funded through restricted cash. PIP expenditures have been revised down from the prior estimate of $6.9 million, mainly due to the planned disposition of certain hotels. AHIP currently has 3 hotel projects in the design and procurement phases for future renovations. Preliminary results for July show occupancy at 77%, ADR at $143 and RevPAR at $110 or 3% up from July 2024 RevPAR levels. And with that update on our hotel operations, I'll now turn the call over to Travis to highlight key financial and capital metrics for the second quarter.
D. Travis Beatty: Thank you, Bruce. Good morning. For the quarter, normalized diluted funds from operations, or FFO, was $0.06 per unit compared to a normalized diluted FFO of $0.10 per unit in Q2 2024. At June 30, 2025, AHIP had an unrestricted cash balance of $18.6 million compared to $27.8 million at December 31, 2024. The reduction in cash was primarily due to net outflows from completed refinancing and debt repayment, which resulted in one property becoming unencumbered during the first quarter of 2025. At June 30, AHIP held a restricted cash balance of $25.4 million and had an additional $24.7 million available under the portfolio loan per capital improvements related to properties secured by this loan. Debt to gross book value was 48.7% at June 30, 2025, a decrease of 60 basis points compared to December 31, 2024. Debt to EBITDA at June 30, was 8.1x, an increase of 0.1x compared to December 31, 2024. On June 6, 2025, our unitholders approved an amendment to the LP agreement to provide the Board with a discretion to cause the U.S. REIT to cease to qualify as a real estate investment trust. On August 6, 2025, the Board determined that it is no longer in the best interest of AHIP for the U.S. REIT to qualify as a REIT under the code. In reaching this determination, the Board considered, among other things, the potential timing and transaction limitations on AHIP's potential hotel dispositions that would be imposed if it remains subject to REIT tax rules, which could adversely affect unitholders. The U.S. REIT being treated as a taxable C corporation rather than a REIT provides the Board and AHIP with the appropriate flexibility to manage AHIP's financial obligations and efficiently pursue potential alternatives of maximizing the value of AHIP's portfolio of assets. The Audit Committee of the Board of Directors of AHIP has completed a comprehensive request for proposal process for the 2025 external audit engagement. At the request of AHIP, KPMG resigned as auditor of AHIP effective August 6, 2025. The Board, on the recommendation of the Audit Committee, has selected MNP to replace KPMG as its external auditor for fiscal 2025. The decision was based on careful consideration of the qualifications of the audit team, staffing model, technology and independence. There were no reservations in KPMG's previously issued audit reports. I'll now turn the call back to Jonathan for some closing remarks.
Jonathan Korol: Thanks, Travis. We remain positive on the long-term prospects of our business despite headwinds accompanying macroeconomic uncertainty. In prior times of disruption, Select Service hotels have outperformed on a relative basis. And I believe AHIP's diversified portfolio of premium-branded select service hotels with a focused operating model is well positioned to generate long-term value for our unitholders. We have made immense progress on the strategic plan we announced at the end of 2023, which has seen us address near-term obligations and strengthen our balance sheet to ensure we are well positioned to outperform while the outlook for our industry improves. So with that overview of our second quarter results, we'll now open the call to questions from analysts. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Anish Thapar of Scotiabank.
Anish Thapar: So my first question is on the 20th marketed hotel. So which geography and the brands these hotels are in? And what's your expected time line regarding potential closing?
Jonathan Korol: Can you just repeat the last part of that question, Anish? The geography...
Anish Thapar: Which geography and the brands these hotels are in? And what's your expected time line for the potential closings of these expected dispositions?
Jonathan Korol: You bet. Thanks for that question. So the geographies are pretty well dispersed across the country. We've got some in the Sunbelt and then some that are into the Northeast. And then in terms of time line -- sorry, branding, it's really across all 3 brands that we have, Hilton, Marriott and IHG, and we would expect all of these to close prior to the end of the year.
Anish Thapar: Okay. Just a follow-up question on that. So what would the typical LTV on these assets would be? And how would that compare to the general LTV in the markets today?
Jonathan Korol: LTV, meaning what would be the market loans, loans to value on assets coming to market if we were to buy today. I would suggest that the LTV of these hotels that we're marketing on a combined basis would be higher than what the market LTV would be for a new acquisition at this point in the market.
Anish Thapar: Right. And so where would the financing costs be if you -- so if today, if you were to secure a hotel mortgage, how much financing cost would be there to income?
D. Travis Beatty: Yes. On a new acquisition, you could be looking at a new loan-to-value of -- in the mid-60s, call it, up to 65% loan to value. And on a rate, you'd be looking at SOFR plus 300 to 400 depending on the asset quality and characteristics and features like that.
Anish Thapar: All right. Makes sense. Can you please provide a bit more color on the announced changes in auditors? And any implications going forward?
D. Travis Beatty: Yes, I can address that. We had to delay our results during 2024 audit process. As you may have detected, we didn't release till the end of March. As a client, we weren't happy about that. That didn't meet our expectations for deliverables from our auditor. And as a result, we decided it was appropriate to make a change.
Anish Thapar: Right. Makes sense. Just last question. So the SPNI margin fell 150 basis points year-over-year this quarter. So how much of the decline would be attributable to the U.S. tariffs, if any? And what's your outlook for the year-over-year margin changes for the remainder of 2025?
Jonathan Korol: Yes. I think it's -- the outcome of the tariffs are pretty negligible. I think where we would see a government-driven outcome would have been in the government demand piece of our business, specifically in the Northeast geography of our portfolio. And I think Bruce had a good quote on that in our transcript. And in terms of our outlook for margins, we don't typically provide outlook on that metric, Anish, but I would suggest that we're very encouraged by the plateauing of certain expenses that really drive our business, specifically around labor costs. Labor efficiency has improved. The need to rely on third-party contract labor has declined. If you've followed us for the last couple of years, you've noted how often we have referred to that in this economic backdrop, and we're pretty confident that we're starting to see a plateauing in that regard. And that's probably the most color I can give at this point on Q3 and Q4 operating margins.
Operator: At this time, I'm showing no further questions. I would now like to turn it back to Jonathan Korol for closing remarks.
Jonathan Korol: Thank you again, everyone, for joining us on our call today, and I look forward to speaking with you in November when we report our third quarter 2025 results.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.